Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 The conference is now being recorded. Welcome to the conference call regarding the publication of Gerresheimer AG's Q3 Results Twenty Twenty One. At the moment, all participants have been placed on a listen-only mode. The floor will be opened for questions following the presentation. 0:17 Now, I hand over to Ms. Carolin Nadilo, Head of Investor Relations at Gerresheimer AG.
Carolin Nadilo: 0:20 Welcome everyone and thank you for joining us to our Q3 conference call. As always with me today is Dietmar Siemseen, our CEO as well as Dr. Bernd Metzner, our CFO. We will present a set of slides accompanying the management's notes, the quarterly statement, the presentation and the press release are posted on our website too. Please note this call is webcast being live and will be filed on our website. 00:50 Before we start, I have to remind you that the presentation and discussions are conducted subject to the disclaimer. We will not read the disclaimer, but propose taken it as read into the records for the purpose of this call. 1:03 Now, it's my pleasure to hand over to Dietmar Siemssen. Dietmar, please go ahead.
Dietmar Siemssen: 01:11 Thank you, Carolin. And, good afternoon ladies and gentleman. Good morning to those of you joining us from overseas. Welcome to our Q3 conference call. Yeah, Gerresheimer is on growth course. This is the headline of our third quarter results. And the transformation which we are continuously implementing is bearing fruits and you would see more than that. The effects of our growth strategies are kicking in and we will maintain the momentum for growth also on the quarters and years to come. We are on track for sustainable growth. The strong growth in the third quarter proves that our growth strategy is successful. The increase in demand of our innovative and sustainable solutions show that our transformation is bearing fruits. 02:04 As an Innovative Solution and platform provider, we are a strong partner of our biotech pharmaceutical and beauty customers. This is exactly what our new Gerresheimer stands for. We are innovating for a better life. As one Gerresheimer, the team is working on the Best Solutions for our customers, offering and continuously extending our unique product portfolio. Now this clearly translates into growth. 02:36 Let's start with the key takeaways of the third quarter. In the third quarter, we showed organic revenue growth of ten percent on group level and nine point eight percent in our core business. Year-to-date, we are now on six point nine percent organic revenue growth. With that, we are in clear track to deliver our guidance. Significant revenue contribution again comes from our High Value solutions and our dedicated business, Unit Biological Solutions, both growing by approximately thirty percent and we expect this trend to continue. 03:21 Looking at the bottom line, the organic adjusted EBITDA margin reached twenty point nine percent. A solid result with raw material prices and energy costs are continuously and significantly increasing. The adjusted earnings per share increased on FX-neutral base by five point two percent. Also for this KPI, we are well on track to deliver to our guidance. 03:50 Dear ladies and gentlemen, we are already in the middle of the fourth quarter and we are looking confident into this quarter and our full year results. With this, we can confirm our guidance for the fiscal year twenty one and for the midterm as well. 04:08 Looking selected at Q4, we will maintain the momentum for growth. Capacity increases in various product segments will turn in and we will see additional revenue contribution in the area of contract manufacturing projects. 04:26 Let us now have a closer look into the growth drivers of the third quarter. Good proof point for our new reshape Gerresheimer and growth comes alongside the whole portfolio. Let's start with our High Value Solutions. Here in particular, Biologics are a strong growth driver. In this business, we are supported by the global mega trends towards more and more biological medication, which are mainly administered by injections. 05:01 In the underlying business, we see positive effects of our regional expansion initiative. Just to mention a few examples, the vial expansion in China, primary packaging solutions in Brazil and also high quality type one glass in India. With our global footprint, we are close to our customers, a clear success factor for us. 05:29 For our contract manufacturing business, the order intake has been continuously strong, and the order books have been filled very well over the past two years. With this, a solid foundation for growth in the next years has been put in place. The growth opportunities in this business are very attractive. For sure, with regards to the new [Indiscernible] and the active business, but also with regard to further projects, which will turn in over the next quarters and also years. 06:02 Important days for me to have a closer look into our business solutions serving the market for cosmetics and beauty. In particular, the business is for high end cosmetic products such as perfume plaques has been hit by the global pandemic. Nevertheless, this business must not be underestimated as we expect the recovery to be strong. This is more important is that we further developed our business for cosmetic and beauty. Now, we see first recovery of this segment and we see strong potential by new innovative products, which will be accretive for both revenue growth and also margins. This is why I will today elaborate in more detail on that topic. 06:51 For our beauty segment, we anticipate global mega trends and we are sizing attractive niche markets also in this business. One of these global trends is the focus shift from pure beauty and cosmetic towards healthcare. What does that mean? More and more beauty and cosmetic companies are further developing their products and product innovations alongside global healthcare trends and have in a consequence significant higher requirements to our solutions. We are talking about the increased focus on healthcare nutrition in general as well as the continuous trend for advanced cosmetics like more healthcare applications at home. 07:39 Another fast, relevant trend is the increasing demand towards a strong sustainability positioning. An important end from Gerresheimer very much appreciated trend as we with our strong experience in pharma are well positioned to fulfil this. We anticipate and understand these trends and we are innovating towards the best product and customer solutions. We are leveraging our long-term pharma competencies in order to innovate on new solutions for the cosmetic in beauty market. The expertise we established over decades helps to define new markets and convince existing as well as new customers to partner up with us. We already have a leading market position in the cosmetic segment and we are continuously increasing the amount of high value beauty solutions in this segment. 08:40 The broad portfolio in product and capabilities of Gerresheimer is a key success driver. We are offering the best customer solution through joining forces of our businesses and business units. Concentrating our capabilities now are newly formed network of innovation centers. In order to find the ideal customer solution, it is essentially to integrate products and knowhow from all divisions and all business units. 09:10 By this, we customize our product alongside the customer's requirements and have a unique competitive advantage. Based on global trends in pharma and beauty, we seen – we see increasing requirements of our beauty customers. Upgrading their demands towards pharma and healthcare standards. These are exactly the customer needs. We will serve and this current corresponds perfectly to our expertise and the strategy of formula G. 09:47 Already now, the range of product solutions for our cosmetics and beauty customers is diverse as well as solution combining glass and plastics. We are focusing on the best solution for the customers and we are continuously enlarging our portfolio. I will give you some examples. We extended our portfolio and perfume samples by vials for small size cosmetic products. The latest innovation for beauty customers is a drop solution. Combining our capabilities in tubular glass, moulded glass as well as plastic packaging. 10:27 In addition, we are providing ampoules in various sizes and diabetes as well as cube containers for liquid cosmetics such as mascara. Within the production and manufacturing process, we are continuously moving up the value chain by offering various decoration options and finishing techniques such as lettering, printing, met treatments and metallization and so on. Also here, we are using our long-term expertise and decorating our pharma solutions. 11:02 Furthermore, we are expanding the business with customers in the selective segment. In particular for premium skincare products as well as for selective fragrances. The underlying market growth for this selective segment is very attractive and the recovery since the COVID-19 pandemic is dynamic. We are following these trends with our regional expansion plans and this approach contributes to our strategic target to move up the value chain of our customers. 11:34 A third point, very important, the sustainability. Sustainability is a key pillar of our growth strategy. We are fully committed to our ambitious sustainability targets now contributing to these goals and targets of our customers. We are offering to our customers the usage of cost consumer recycled glass as well as recycled plastics. Together with our customers, we create products, developed under equal design principles. 12:04 Together, we are considering sustainability requirements right from the beginning of the product lifecycle. Already day, many of our cosmetic and beauty customers are convinced by our high quality of products with recycled glass content up to forty percent forty five percent and up to a one hundred percent recycled plastics. 12:27 Beside the reusage of resources, we are focusing on further key criteria such as, for example, weight reduction or packaging density. The extension of our portfolio for cosmetic and beauty customers alongside a holistic cross divisional developing and manufacturing approach offers promising growth opportunities in all divisions. This doesn't only apply to the cosmetic business, it's a building block on our way to become a complete solution provider. 13:02 We will leverage that in each business unit and alongside the whole product portfolio, always focusing on our target, transforming our Gerresheimer into a growth company as innovation leader and solution provider. We will continuously implement this approach globally. We will innovate globally with a particular focus on own products and own IP with strong partnerships and collaboration. 13:32 With this, I hand over to Bernd to elaborate on the financials. Thank you. Bernd, go ahead.
Bernd Metzner: 13:39 Thank you, Dietmar and welcome everybody also from my side. Before we go into the analysis of our Q3 twenty twenty one figures, I want to briefly summarize our achievements in the third quarter. First, the revenue development was strong, achieving double digit organic revenue growth marking one of the strongest quarters in Gerresheimer’s history. Second, our revenues were again particularly boosted by our key growth drivers. High Value Solutions grew by almost thirty percent and Biological Solutions outperformed again with more than thirty percent revenue growth year-over-year. Third, we achieved an organic adjusted EBITDA increase of three point five percent despite significant headwinds from higher prices for raw materials and energy. This shows that we are quite resilient against the inflationary pressure and demonstrate with our strong market position provide significant pricing power. 14:49 Now, let's dive into the analysis of the key financials for the third quarter twenty twenty one. Reported revenues increased from three forty nine million in euro in Q3 twenty twenty by thirteen million euro to three eighty two million euro in Q3 twenty twenty one. This represents a strong organic revenue growth of ten percent for the group and nine point eight percent for the core business respectively. 15:20 FX had only a slight negative impact of a low-single digit million euro amount, resulting in a reported sales increase by nine point four percent for the group. This is a strong accomplishment even without considering approximately two point five percentage to three point four percentage points as tailwind from passing through inflation effects. Now, let's turn to the earnings. 15:43 In Q3 twenty twenty one, we were able to organically expand our adjusted EBITDA. For the group, we reached an adjusted EBITDA of seventy five million euro. This represents an organic increase of two point one percent FX headwind is the minor and amounted to a low single digit million euro amount compared to previous year. 16:08 In our core business, we reached an organic adjusted EBITDA growth rate of three point five percent year-over-year for the adjusted EBITDA with a corresponding organic margin of twenty point nine percent. I will later zoom into the margin details, but adjusted EBITDA expansion of our core business compared to the previous year is very reassuring. 16:35 For the first nine months, we achieved an organic adjusted EBITDA growth of four point two percent year-over-year with a corresponding margin of twenty one point one percent, which is only slightly below previous year's level of twenty one point six percent. Before we come to the net result, I will briefly comment on our EBITDA adjustments. In Q3, we had adjustments at the EBITDA level of around six million euro. As in previous quarters, our main adjustment in Q3 was related to COVID-19 one-time costs associated to current team obligations of employees, which had been compensated by part-time workers as well as hygiene measures in particular in our plants in Brazil and India. Good news, these costs are exceptional in nature and will not exist going forward. So we will see a significant reduction in the EBITDA adjustments from now onwards starting Q4 twenty twenty one. 17:40 Let's move to the bottom line. The adjusted EPS adjusted by FX effects increased from zero point nine six euros by five point two percent to one point zero one euro. This brings us to an organic year to date growth rate on sixteen point three percent. By the way, also in Q4, we will see a double digit EPS growth. Before we look into the divisional performance, I will put our core adjusted margin of twenty point nine percent into perspective and briefly explained the adjusted EBITDA impacts from pass-through effects for risen prices and the energy cost. What you would see is that we are well positioned to whether the inflation pressure. We are able to pass on the sharp rise in resin prices to our customers on short notice. 18:39 By revenues benefit from this pass-through effects, there's almost no contribution to adjusted EBITDA. This effect technically dilutes the adjusted EBITDA margin by approximately sixty basis points. The rising energy costs have, however, burdened our adjusted EBITDA is a mid-single digit million euro amount. Good news is that these headwinds are only temporary in nature and will be passed onto the customers with a certain delay of a couple of quarters. If you exclude this temporary burden, the adjusted EBITDA margin would have increased by approximately one point five percentage points. 19:25 So on a pro-forma basis, adjusting for these two effects, you would arrive to an adjusted EBITDA margin of around twenty three point zero percent compared to twenty two point two percent in Q3 twenty twenty one. It shows that the positive trend in structurally improving our profitability continues. If you look at the big picture, the transformation of our Gerresheimer into a growth company is successful and backed by global mega trends. We are well-positioned in attractive niche markets. This enabled us to almost completely to pass on the inflation pressure either in the short term or at least in a couple of quarters. 20:14 Now let’s have a closer look into the divisions, plastic & devices. Revenues in Q3 increased from hundred and ninety million euro in Q3 twenty twenty by fourteen million euro to two hundred eight million euro in Q3 twenty twenty one and we’re partially supported by pass-through effects from increasing raw material prices. So organic growth amounted to a strong eight point zero percent. Adjusted for slide FX headwinds of a low-single digit million euro figure, the reported revenue increased amounted to seven point one percent year-over-year. 20:55 The revenue tailwind from passing through rising prices amounted to a high single digit million euro amount. Let's have a look at the moving parts between plastic & devices. First, the divisional growth was strongly supported by primary plastic packaging including Centor, which benefited from passing through higher raw material prices. Second, Our RTF syringes business improved again and showed solid mid-single digit revenue growth. We are continuously ramping up new capacity lines, which will continuously kick in from full year twenty twenty two onwards. Third, the contract manufacturing business was stable, which was due to a slight shift of revenues amounting to a mid-single digit euro amount from the cert into the fourth quarter. The underlying organic adjusted EBITDA for the quarter was stable and reached fifty one million euro in Q3 twenty twenty one compared to fifty two million euro in Q3 last year. In Q3, FX was of minor importance and only slightly impacted EBITDA. 22:08 The organic adjusted EBITDA margin amounted to twenty four point six percent in compares to twenty six point eight percent in Q3 last year. As mentioned before, there are in particular two factors impacting the organic adjusted EBITDA development. First, there's the technical effect from the pass-through of risen price, which only supported our top line. Second, but to a lower extent a slight shift in the product mix. We had phasing effects in our contract manufacturing business resulting a slight weaker mix. Looking at the broader picture and comparing the adjusted EBITDA margin of twenty three point six percent in Q3 twenty nineteen, this is twenty four point six percent in Q3 twenty twenty one. We show a solid margin improvement in our plastic and devices division and this trend will continue. 23:02 Now let's turn to primary packaging glass. The primary packaging glass division short another impressive double-digit organic revenue growth. This is the second consecutive quarter of double-digit revenue growth for primary packaging loss. Revenues increased from one hundred fifty six million euro in Q3 twenty twenty by eighteen million euro to hundred seventy four million euro in Q3 twenty twenty one. So organic revenue growth amounted to twelve point two percent. The FX effect that only a marginal negative impact resulting in a reported revenue increase of eleven point eight percent. The tubular glass business once again benefited from a high demand in High Value Solutions. Our High Value Solutions increased by around thirty percent in Q3 twenty twenty one year-over-year, which was mainly driven by Biological Solutions, LED glass and [Indiscernible]. The adjusted EBITDA increased from thirty two million euro to thirty five million euro in Q3 twenty twenty one. Adjusted for FX effect – for FX effect organic adjusted EBITDA growth searched by a strong eleven point two percent year-over-year despite the strong rise in energy costs. 24:27 So, we are able to largely compensate for the multiple energy cost increase and achieved solid organic adjusted EBITDA margin of twenty point three percent. Now, I come to Advanced Technologies, revenues amounted to two million euro in Q3 twenty twenty one and when line with our expectation. Further adjusted EBITDA loss in Q3 totaled minus four million euro also as planned. Please note that gut Advanced Technology is not part of our full year twenty one and mid-term guidance. 25:04 Let's turn to the cash flow, during our analyst call for Q2 twenty twenty one. We indicated that the second half of the fiscal year twenty twenty one will be as usual significantly stronger compared to the first six months of this year and the development in Q3 twenty twenty one clearly demonstrated end a strong Q4 will follow. 25:30 In Q3, we generated a free cash flow of thirty nine million euro, which is comparable to the prior year and we achieved this development despite twenty million euro higher net CapEx. We managed to compensate the higher CapEx through a strong improvement of net working capital by more than twenty million euro. Let me conclude the cash flow discussion with a comment on our CapEx program. 25:58 We are executing on our unique business opportunities. As you know, we are sizing attractive business opportunities to accelerate our profitable growth performance. So, we are investing for example, into the capacity extension for [Indiscernible] and built up the capacity to accommodate and announce attractive auto injector contract. 26:20 As a summary, we have once more accelerated organic revenue growth rate to a high single a digit range in Q3. We expect the positive momentum to continue in the first quarter of the financial year twenty twenty one. Our structural growth and profitability drivers, High Value Solutions and Biologic Solutions are sustainable and will continue to further contribute to profitable growth. With this positive outlook I now hand back to Dietmar. Dietmar?
Dietmar Siemssen: 26:54 Yeah. Thank you, Bernd. Yes, we are looking into a strong fourth quarter. The growth drivers defined at the beginning of the year are developing as expected. We will keep the momentum for growth again with strong contribution from high value solutions. In more detail, for plastic & devices, we expect mid-to-high single – mid-to-high single digit organic revenue growth from our plastic business as well as drug delivery devices. 27:25 For plastic packaging glass, we expect double digit organic revenue growth backed by a further strong development in our High Value Solutions. We expect both moulded and tubular glass contribute strongly to this growth story. The projects we are working on in Advanced Technologies business are on track and we are continuously evaluating and working on new projects and business opportunities. This business is getting more and more exciting and significantly changed in the last two years in particular with new business and growth opportunities with own IP products and also digital connected solutions. 28:07 For the guidance, we reaffirm our guidance for the current fiscal year as well as our medium term outlook. The current developments mean that we expect to achieve the upper end of our guidance for fiscal year twenty one with regards to organic sales growth while the adjusted EBITDA margin is expected to be at the lower end of the guidance. And good to see regardless of sub headwinds from rising raw material and energy cost, we are very well underway and on track to achieve the absolute adjusted EBITDA targets. 28:44 By implementing our growth strategy formula G, we stated that every business unit will contribute to our growth track. This turns in with fiscal year twenty two, we will prove further significant revenue contribution from our High Value Solutions through advanced capacity expansions as well as through further innovative solutions. We will continuously implement our regional expansion plans in order to accelerate growth with existing customers, but also to the new customers globally. 29:19 The contract manufacturing business will also increase its growth momentum based on the strong order intake over the last years. For example, order injection devices, pens and diagnostic devices. With this order intakes, we are successful defending our global leading position in contract manufacturing for inhalers, pens and all auto injector devices. Additionally, we expect further recovery in our cosmetic business as well as revenue contribution from the new innovative beauty solutions as elaborated earlier in this call. 30:00 Ladies and gentlemen, we at Gerresheimer are on a mission. We are transforming our Gerresheimer into a growth company as innovation leader and solution provider. With an intense focus on profitable sustainable growth, we will consistently prove that the transformation is happening, and we will bring evidence to our long-term guidance for high single digit revenue growth from twenty two onwards. 30:28 With that, I hand back to Carolin and look forward to your questions.
A -CarolinNadilo: 30:34 Thank you for your presentation, Dietmar and Bernd. So let's enter into our Q&A session. The lines are now open for your questions. [Operator Instructions] And the first question comes from David Adlington from JPMorgan. David, hi.
DavidAdlington: 30:59 Hey guys, thanks for taking the questions. So yes, a few please, mostly financial. So I just want to, in terms of the, it was five point seven million of exceptional costs this quarter being related to COVID. Actually what those costs were and how you see those evolving from here and I think you mentioned that you're expecting those exceptional cost to come down both into Q4 and to next year. So as we think about that, what sort of base should we be assuming in terms of the EBITDA margin that's supported to EBITDA margins in some ways? I'm just wondering how we should be thinking about the margin as we go into next year? And then following on from that, the guidance for both this year and last year, I did think anticipated any inflation for the mid-single for this year and the high-single for next year. Should we be laying the inflation tailwinds on top of that? So five to six plus obviously about two the full year, this year and almost the tailwind do you expect from inflation for next year? Thank you.
Bernd Metzner: 32:04 Thanks. Thanks David for the question. As actually, you touched the exception with – practically we have exceptions linked to COVID mainly and this was basically orders current team measures in place. If you look all this in Europe, but you have to look at Brazil, India and basically due to the temporary vehicles where we have to take over and so on, so this was basically the brand of our exceptional. But it is very important is that you don't see this obviously, will not exist going forward, so you will see a significant reduction from the five, six million in Q4 and also going forward, we don't expect any relevant exceptional. That's basically our, how we see and how we plan going forward. Regarding the margin for the next year, I mean what we clearly see is that we will have this strong growth momentum, what you see is we will continue as we speak and we want to discuss our guidance for the next year in February what we are doing regularly, I'm talking about sales growth and EBITDA growth and what we can see is definitely that we will grow also our EBITDA for into – going into the next year that's all I can answer to our outlook for twenty twenty two.
Dietmar Siemssen: 33:29 Yeah, I think we gave a mid-term guidance for the year, it is out, which is high-single digit. I have no doubt in this. Actually that we will also confirm this guidance you asked the question we have, how much the inflation would impact, honestly spoken when we guided mid-single digit for twenty one, we didn't see any impact coming from inflation. We stick to this when – at this time, we also guided high-single digit for twenty two and we did not consider any inflation. So if there would be an inflation that would come on top.
David Adlington: 34:06 That's great. Thanks guys.
Carolin Nadilo: 34:09 Next question comes from Veronika Dubajova from Goldman Sachs. Hi, Veronika.
Veronika Dubajova: 34:15 Hi, guys. Good afternoon and thank you for taking my questions. I have two please to start with. One, I just want to follow-up on the energy cost headwinds and kind of the two part here, if that's all alright. One, we'd love to understand what your expectations are for the headwinds from elevated energy cost as you think about the fourth quarter and how much visibility you have on those headwinds in terms of the proportion that is hedged versus on hedge and then the second part to the first question is, as you think about twenty twenty two, if my math is correct here, I think this year, you will have incurred about ten million euros to fifteen million euros of EBITDA headwinds from higher energy costs. What proportion of this do you think you can offset through price increases as you transition into fiscal year twenty two. Just a rough guide here would be helpful and then my second question is on AT, I think you have mentioned Dietmar on multiple occasions potential for new customers here on the auto injector and I'm just curious if you have an update on that. Thank you.
Dietmar Siemssen: 35:25 Maybe I take your first two questions Veronika. First regarding the energy cost basically we assume that probably we have also a mid-single digit euro amount as a headwind in our bottom line. But don't forget partially it was already planned for, partially we are increasing the prices and partially how we have demonstrated so far, we will compensate for that in this area and this is we really come to our budgeted numbers for the full year. That's the outlook for Q4 and behind the middle of Q4 so we have a very good forecast across on especially Q4 so you can imagine and on the another note, the price increases, price increases overall as regarding the inflationary pressure, basically for the risen prices, it's already transferred to our clients and for the energy prices what you're always saying you have basically trickling in the next couple of quarters and we expected over the course of the next year, we will be able also to pass on the price increases totally to our customers at our work assumption for the next year.
Bernd Metzner: 36:41 Yeah. I take the other questions around Advanced Technology, Veronika, you are a bit too early with this question as I come to disclose any details because we have not signed the contract, but factors that in Advanced Technology has a lot of very positive and strong use that we most likely will disclose with the Q4. If not a bit earlier, we think about this at the moment. It's not only a new contract with the new customer. It's also couple of other news that are really strong. For me, it's really motivating the existing projects are running very well. Finally, which is very positive. There are new businesses is coming in. It's not only in the direction of additional pharma customers, but it's really also maybe going in another direction with smart devices in, for example, even cosmetics. So it's really dynamic here and very positive to see that finally here the success stories are coming in, but it's a little bit too early to disclose at the moment, because I would like to sign the contract first.
Veronika Dubajova: 37:46 Understood. Thank you. And just to circle back on the energy question, Bernd, that's alright. So, if I look at sort of the fifteen million euro or so of EBITDA that you will have lost by the end of this year from higher energy prices, we should assume that through the course of next year, you basically offset that through higher prices?
Bernd Metzner: 38:07 I expect Veronika as that's exactly our base case.
Veronika Dubajova: 38:11 Perfect. Thank you, guys. I will back in the queue.
Carolin Nadilo: 38:16 Thank Veronika. Next question comes from Scott Bardo from Berenberg. Hi, Scott.
Scott Bardo: 38:22 Thanks Carolin and hi team. Thank you for taking my questions. So, first question, please, I'd like to understand a little bit the capacity considerations constraints in syringes, I think you mentioned a mid-single digit growth this quarter, which I think is a little bit below market and some contrary to your growth ambitions in that segment. I was under the impression that you were building out additional capacities for this year. So perhaps give us an update on that and when you believe that you can start to say take market share again in those categories? please. 38:58 The second question, please. It relates a little bit to this energy topic. I understand that you already in discussions, negotiations with prices pass-through for your glass business. Can you help us understand a little bit and in terms of the magnitude of price rises that you consider here also give us some sense of the attitude towards customers for these price hikes. I think historically, Gerresheimer has not been so aggressive with price. So maybe some feedback on this notion and also help us understand is there any clause with this price rise especially if energy costs come down, you need to continue and go back to the old prices. So I'd like to understand that, please. 39:48 The last question please relates to the Advanced Technologies business. Obviously, a technology rich area, which has been pretty slow in contribution, still significantly burden on your profits. Am I right, you are saying that your pre-communicated financial guidance for this division into next year being that losses will significantly abate in twenty twenty two and maybe even indeed in some sort of EBITDA neutral situation. I'd like to understand whether you're following that trajectory. Thank you.
Dietmar Siemssen: 40:35 Yeah. Hello, I take the first question around the syringes. The syringes actually I cannot confirm your statement. Here, there are some smaller mix effects probably in the third quarter, but the growth store in the syringes is fully ongoing. The ready to fill fixed line is in the ramp up, which is in plan and we will continuously see strong growth in the syringes that will be solid. I would call it solid double digit, for example for twenty two and we are here on track.
Bernd Metzner: 41:13 Scott, I would come to the second topic, the energy, how we are behaving towards our customers. I mean a very sensitive topic as you kind mention also from a competitive point of view. But obviously you said we are not, let's say in the last ten years, we’re not used to really approach our customers, let's say we never have seen such a high prices. So we really mobilized our sales organization to really make sure that the energy cost hike is really transferred to our customers and we are doing this I have to say in free, but very effective way that's what I can say and regarding the clauses, whether it comes back the surprised decreased if the energy price goes down and it's something I would like to keep as a competitive secret, it really depends from the customers in the end of the how you're managing this, that's clear. 42:16 Last topic regarding Advanced Technology. It’s – Advanced Technology from a concept is obviously at the core of our company and we see the really success potential and of our growth story as well. As you mentioned, we does not part of our guidance, why because we always there that we want to not over promise and under not reverse but the opposite to under to over really deliver and therefore we said better to keep this aside because our Advanced Technology approach and we will reassess whether this is now the appropriate way going forward as close we get to the realization of the project, which was mentioned by Deepa, that’s what.
Scott Bardo: 43:02 Thank you. Well, just furthermore, I mean, I think this is loss making into the tune fifteen million or so annually and I understand of course, this is an investment for the future, but I think your pre-communicated structure was that this was going to become less burden on EBITDA from twenty twenty two. So can you confirm that today? Is that the outlook that you foresee?
Dietmar Siemssen: 43:24 Yes, I think we can also confirm this because also the new projects will support. What I forgot to mention is the one of the new projects we are discussing, usually you win in customer it takes couple of years in the Advanced Technology area to launch this product. Here we are now talking an application where our go-to-market would be significantly faster than normal and it's not unlikely at all that we also hear in late twenty three latest twenty four. Really see already strong sales and that is really a great thing and a good story. More in a couple of months when we disclosed Q4 and the details.
Scott Bardo: 44:07 Very good. And maybe one last question if I can please and maybe somewhat a difficult one to answer. But we're seeing, of course, lots of your competitors come to the capital market. See I'm thinking study onto group in the U. S. And there obviously other publicly traded peers that are seeing strong growth and enjoying very high valuations. And I think that compared to Gerresheimer now trading on fifty two, we close today, I'd like to understand from you Dietmar. Why you think there is a different performance or perception of performance and indeed why you think Gerresheimer is not resonating if you like with the investment community today?
Dietmar Siemssen: 44:58 Yeah. It's a tricky question, and I'm not sure whether I'm the absolute market specialist, but from my point of view to see out areas is that there is a lot of our investors, but also some of our and analysts that are still sticking with the old Gerresheimer and we have a history of the old assets. Gerresheimer and they are in this old, Gerresheimer old. But we have obviously not successful enough been able to bring the new Gerresheimer story across because what we actually are doing at the moment is the kind of story that we are writing is really amazing and what you see meanwhile, two years ago, I was talking about the story. Now we are in the middle of the story and it's happening as we talk and we have really transfer the company from a classic packaging company into a MedTech high innovative company and it is on us on the one side to upgrade the story, bring across the story across in a better way, but also our performance deliveries over the next quarters and years, will also help to underline the strengths of the story. From my point of view, we are extremely well positioned in Gerresheimer and is more likely that we were writing a story that is probably significantly more interesting than the story of one or other of the players that are doing in IPO at the moment for an extremely high valuation.
Scott Bardo: 46:27 Okay. Thank very much guys.
Carolin Nadilo: 46:31 The next question comes from Chris Gretler from Credit Suisse.
Chris Gretler: 46:37 Thank you, Carolin. Good afternoon Dietmar and Bernd. Actually, I just have two questions and the first relates to your guidance as I look on our year today, growth performance of seven point three percent and then essentially actually I also know, it is surprised by your optimism about to our Q4 growth, particularly the topic about growth in our primary packaging glass. So I mean, wouldn't that be cannot know announcement for an upgrade and to the growth guidance because I mean, I think mix single-digit could still be up to seven percent doesn't, I guess just know doing the math. You probably given your plans here in Q4. we will likely end up about the seven percent range. So what kind of not work trigger you to kinda not know, actually upgrading revenue growth guidance for what credence you from doing so now. And the second question is just due respect to your energy hedging cost, hedging strategy, I think, down to a previous lesser provider at some stage, these are guidance on [Indiscernible] we were hedging strategy. Could you update us on kind of how that works?? At the moment and what your strategy is this relatively volatile environment that would be great. Thanks.
Dietmar Siemssen: 48:09 Yeah, I can get, I take the first question. Bernd, you do the second or, I'm okay.
Bernd Metzner: 48:14 We are aligning here little bit sorry. Yes upgrade your guidance, It's a good question. It's what I usually love to do the most at the moment, we stay a bit conservative year, but there's no doubt we guided mid-single digit. You heard that we expect that it be some two percent tailwind coming from the inflation. And I told you also that my earlier guidance did not include the inflation. You can add up whether it's now seven or seven something or a little bit more, It's up to your fantasy, I think we are very well on the way, Q4 will be strong, you're right. It's not a total surprise that the Q4 will be strong. Because actually, we planned a strong Q3 and we also expand a very strong Q4 and from the very beginning and it's not a total surprise that Q4 will now come in very nicely, so let's see for the Q4.
Chris Gretler: 49:14 I'm just the same on my end, sometime, it's good to know kind also to provide and not positive surprises to with the market to get these more beaten rates going into [Indiscernible] the headwinds I think, Scott was mentioned and before, for example under the financial market side. I appreciate your financial market.
Dietmar Siemssen: 49:38 I can take your second question regarding your – regarding our policy regarding hedging, I mean, as you I'm sure you understand, I mean, we are now in a middle of the price negotiations in this areas and in the end, we keeps this precisely – the precise amount as secret. But be assure, we really appropriately hedged and especially also for energy cars and electricity in particular.
Chris Gretler: 50:10 Okay. Thanks.
Dietmar Siemssen: 50:12 Thank you.
Carolin Nadilo: 50:14 Thank you guys. Next question comes from [Indiscernible] from Deutsche Bank. Go ahead [Indiscernible].
Unidentified Analyst: 50:20 Hi, thank you, two questions please. My first one would be an whether you still expect to be free cash flow positive in fiscal year twenty twenty one and then the second one would be great if you could provide an update on the SQ Innovation Project and whether you still expect your first revenues from that project next year?
Bernd Metzner: 50:44 Thank you. I can take for the first question. I thought that maybe it's forgotten how free cash flow. It depends a little bit our free cash flow, whether we will arrive to basically to like zero depends a little bit on our CapEx program, but what I can tell you is that people have that our plans the strongest as cash flow a quarter of the year in Q4 and this quarter Q3 we had forty million. So if you calculate this to be very strong, Q4 as well.
Dietmar Siemssen: 51:19 Yeah. I take the SQ Innovation Project, the SQ Innovation project is on track for the ones that are interested we just made it. I think it was last week on the top page of the herald in Scotland. Next to the queen, it was a pleasure of the next hour article that said [Indiscernible] in world's first trial to treat heart failure cases at home, which is another confirmation a very positive clinical study, the project is in plan as – at the moment, of course, it's – the customers are driving it. We are still planning – customers still planning to bring it into the FDA beginning of next year and as such if things running further according to plan, it's true that we are shipping the first pumps hopefully by in the end of twenty two. Whether it's been November or December, but that's clearly the plan and at the moment everything looks very positive here.
Unidentified Analyst: 52:19 Okay. Thank you.
Carolin Nadilo: 52:22 Now, we have Daniel Wendorff from [Indiscernible] is in the line. Hi, Daniel.
Daniel Wendorff: 52:27 Hi, thanks for taking my questions. Three, a lot if I may? And the first one is on the margin development in PPG and if you and what exclude the, the negative impact from high energy cost and the margin development would have actually been quite strong. In my view and that division in the quarter, maybe you can give a bit more color here where is that coming from how sustainable that is maybe related to that question. 53:01 Also my second question, on the number of new beauty solution products within the cosmetics part of the business and you highlighted to us? And how important are these already and has this any impact on margin development in this division? And then my last question would be on the High Value Solutions part of the business. And the strong growth you presented to us is that is that more related to really product lines, which are growing so strong, that related to very specific peculiar products for forcing the customer so I think, I try to understand a bit, the granular, whether you can provide you a bit more granularity of where the growth is really coming from for High Value Solutions? Thank you.
Bernd Metzner: 53:59 Daniel, I would take the first question regarding the margin development for PPG and actually pro-forma, if you really want to see it, you have to increase actually, your EBITDA slightly in PPG by three, four million if you really want to look through the inflation and then you really see the structure growth momentum also as far as the margin is concerned – the margin expansion is concerned if you really want to look through and one of the key drivers is obviously that we have in our High Value Solutions area and in biologics, definitely also nice margin. Then you have, this is your let’s say standout business if you want to help us it's basically a product mix effect and therefore, I can answer this this conceptually – structurally sustainable.
Dietmar Siemssen: 54:55 Yeah, I take the second question. The beauty and cosmetic, it's interesting that especially last year, we always discussed cosmetic to be something negative because due to the COVID passing plan calls, they didn't sell well. Actually, the rest of the cosmetic business also in twenty twenty did very well and it is general effective business with also reasonable margins. The recovery now, of course helps that it's coming back, but on top of this we should not forget that cosmetic business if it's not COVID is actually a business that is almost growing in double digit. And this is what we will see again in the loop of the next quarters and years and the new products, which are on the one say, up guided parking that are decorated in a certain way. But we also talk about the new pipettes, for example, the things I spoke about where we include the knowhow of tubular glass and plastics together. It's a product that is used quite a lot now not only in cosmetic, but also in pharma but in cosmetic, it's just the ramp up of the sales starts in the first quarter and it's, I don't know exactly how many million but you will probably see the first million of sales in the first quarter and we probably see five million to ten million of the sales already in twenty two. So it's pretty interesting to move into this business segment. It's a little bit as I said in the speech or the advantages that we have in Gerresheimer that we other than the normal cosmetic customers really have this pharma and knowhow and can easily include this. 56:41 Then the next question was regarding of High Value Solutions. Of course, there is a broader portfolio of High Value Solutions that for example, sell, especially into the biological market with our new founder biological segment. These are for example, very special syringes where COP syringes, syringes with metal free, tungsten free or special surface treatment but it's also ready to fill vials and litre vials that we are doing pretty good sales with end of Q3 already Q4 will be more and even more in twenty two. Important is that these ready to fill vials are increasingly strong market and that's the area where capacities that we actually added for COVID will easily and heavily will be used up when the COVID topic is over and the sales goes down in this area, we are using the free capacities to add up on our ready to fill and also litre vials and that's a pretty grown good story. Another high value products are of course, solutions that we are now bringing by combining knowhow in plastic and glass, for example, by glass container with plastic closure, which is a system big added value for the customer and we are selling this.
Daniel Wendorff: 58:06 Okay. Thanks very much. Yeah, definitely. I just wanted to know whether that very peculiar product for single customers involved really.
Carolin Nadilo: 58:20 Are there any further questions from you Analyst side? This seems not to be the case. We would like to thank you for the call today and for joining us and all the best and stay healthy. Bye bye.
Operator: 58:45 Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.